Operator: Good day, ladies and gentlemen, and welcome to the Entergy Corporation Second Quarter 2019 Earnings Teleconference. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference maybe recorded. I would now like to turn the conference over to David Borde, Vice President of Investor Relations. Sir, you may begin.
David Borde: Good morning, and thank you for joining us. We will begin today with comments from Entergy's Chairman and CEO, Leo Denault; and then Drew Marsh, our CFO, will review results. [Operator Instructions] In today's call, management will make certain forward-looking statements. Actual results could differ materially from these forward-looking statements due to a number of factors, which are set forth in our earnings release, our slide presentation and our SEC filings. Entergy does not assume any obligation to update these forward-looking statements. Management will also discuss non-GAAP financial information. Reconciliations to the applicable GAAP measures are included in today's press release and slide presentation, both of which can be found on the Investor Relations section of our website. And now I'll turn the call over to Leo.
Leo Denault: Thank you, David, and good morning, everyone. We had a productive quarter and today we are reporting adjusted earnings of a $1.35 per share. Drew will go over the details, but the bottom line is that these are strong results that keep us firmly on track to achieve our 2019 guidance. With our success over the past three years and our confidence in our strategy going forward, I'm pleased to announce that we are increasing our three-year investment plan for the benefit of our customers. As a result, we are also raising our earnings outlook midpoints in 2020 and 2021, narrowing our guidance and outlook ranges and providing clarity on our dividend with an expectation to align the dividend growth rate with our earnings growth rate by the end of 2021. This is possible because we were finding ways to optimize our operating costs through automation and other continuous improvement efforts. With this new plan, we are investing to enhance our level of service and the lower O&M creates head room to help us manage the effects on our customer's bills. Today, we're a world class utility with a proven track record of successful execution, a solid investment plan, and an outlook that will deliver their earnings and dividend growth that investors expect of a premier utility. Beyond our three-year horizon, we see no shortage of investment opportunities to benefit our customers and maintain our growth aspirations well into the future. For example, we currently plan to add 7,000 to 8,000 megawatts of new generation from 2022 through 2030. This is necessary to continue to modernize our infrastructure, serve load growth, and achieve our environmental commitments. We anticipate that up to half of this new generation would be renewables, primarily solar with the balance being highly efficient gas generation. While the specifics could change as technology and economics evolve, of course we'll work with our regulators and other stakeholders to determine the best strategy to meet customer needs for reliability and affordable bills while achieving our sustainability goals. We will also continue to invest in transmission infrastructure to integrate new generation technology, connect new customers, enable future economic development and enhanced system reliability, efficiency, and resiliency. We believe that our largest opportunity for long-term growth is in distribution. We are already making major investments in AMI, enterprise asset management systems, workforce management systems, customer relationship management systems, a new and improved customer engagement portal, distribution automation, distribution and outage management systems and geospatial information systems. Beyond these initiatives, we expect to invest in technologies to harden our grid and enable the optimization of distributed resources like residential and utility scale solar, battery storage, backup generators, micro grids, and electric vehicle infrastructure. This is our expectation today, but ultimately our final resource decisions will be informed by many factors, including our customer's evolving preferences and expectations. As a vertically integrated utility, we are agnostic to the specific solution, whether generation, transmission or distribution, as long as it's the best solution. As a result, we see sufficient customer centric investment opportunities to enable us to continue to achieve our current rate base growth beyond 2021. Physical assets aren't the only things that matter. We're also investing in our employees. We've created an innovation hub to help us lead and a rapidly evolving industry and help us develop solutions to address customer needs. We're also enhancing our leadership training to give our employees the tools to lead their organizations through the changes ahead. Organizational health in diversity and belonging efforts are also integral to our success. These programs will ensure that our employees will grow as the Company grows. With our increased earnings outlooks, clarity on our dividend growth and excellent prospects for continued growth. We are as excited about our future as we have ever been. We achieve our success one step at a time and this quarter is a continuation of our journey. In May, we completed the St. Charles Power Station. This modern CCGT went into service ahead of schedule and on budget. It will supply reliable, clean energy to Louisiana's customers to help support the growth the state is experiencing. In Mississippi, we are wrapping up due diligence for the Choctaw acquisition. We're on a path to resolve the mechanical issue identified earlier this year and we plan to close the transaction by year-end or early next year. On the renewables front, we've had several developments. In New Orleans, we received approval from the city council to proceed with the 90 megawatt solar portfolio previously proposed. Entergy New Orleans is also piloting a new program that puts solar panels on low income customer's homes. Through partnerships with local vendors, we will install a rooftop solar system at no cost to the customers and give them a credit on monthly bills In Arkansas, we're partnering with commercial and industrial customers to meet their energy and sustainability goals. We are offering a community solar tariff to allow them to subscribe to blocks of solar resources. For our customers, this is a cost effective way to meet their renewable energy goals without them having to make an upfront capital investment. These are just some of the innovative programs we are implementing to deliver renewable energy solutions. We will continue to engage with our regulators and stakeholders to expand the use of renewables under a framework, which ensures that we build the most economic system, balancing reliability, price and sustainability. In Texas, two large transmission projects including Phase I of the western region economic transmission line were placed into service. These assets will help Entergy Texas and support growth in that area. We're also making significant distribution investments over the next three years with the emergence of new technologies. We continue to install the advanced meters with plans for one million new meters in 2019. We also deployed the first release of salesforce capabilities to our call centers. This is part of a larger effort to build a new website with mobile functionality, a customer relationship management system and interactive voice response to transform our customer experience. We benefited from constructive collaborative relationships with our regulators and progressive regulatory constructs. They give us the opportunity to align cost recovery with when our customers receive the benefits. Our regulatory frameworks provide clarity to our plan and give us confidence in our financial commitments. We continue to make strides in this area. In May, Texas and acted legislation empowering the public utility commission to allow for faster recovery of generation investments. This legislation is a step in the right direction and will help us earn closer to our allowed return. More timely recovery will help us create value for our stakeholders in Texas and ensure that the communities we serve remain economically competitive. Also in the quarter, Entergy Mississippi received approval of its annual formula rate plan filing and we submitted annual FRP filings in Louisiana and Arkansas. Our request in Arkansas was for a rate change of $15 million, less than 1% of total revenue well below the 4% cap. This includes placing approximately $700 million of new assets into service in 2020 for the benefit of our customers. As many of you know, Hurricane Barry made landfall in our service area earlier this month. The storm created significant flooding and accessibility issues, but thankfully we did not see extensive and widespread damage to our system. We activated our emergency response plans and we were fully prepared for the event and as always our employees stepped up. We'd also like to thank our neighboring utilities that provided mutual assistance to help us get our customers back online as quickly and safely as possible. Mutual assistance is a hallmark of our industry. We are proud that once again, the Edison Electric Institute has awarded Entergy with its emergency assistance award for the Company's outstanding power restoration efforts. At EWC, all of the pieces are now in place to fully exit the merchant business and we continue to systematically reduce risks. We have commercial agreements to sell the last three nuclear assets to a counterparty that the NRC has already approved in a similar transaction. We are proud to have led the industry in the unprecedented strategy to sell non-operating nuclear assets. The strategy that fully transfers the plants decommissioning liability to the new owners, while accelerating the decommissioning timeline. As we predicted, this market has grown in a short period of time. As three operators have announced plans with three different buyers. We're becoming a better, stronger company and a premier regulated utility creating sustainable value for all of our stakeholders. The fundamentals of our business are strong as reflected by the increase in our earnings outlooks supported by a robust capital plan. We're expecting 5% to 7% adjusted EPS growth off of our 2019 guidance. And by the end of 2021 we expect to increase our dividend growth rate to align with our earnings growth. We have among the lowest retail rates in the country; we operate in a region that benefits from strong industrial growth. We are an industry leader in critical of sustainability. We are making significant investments in our system and our culture to benefit customers and our aspirations for our customers are aligned with their evolving expectations as well as the goals of our regulators. These are just some of the reasons why Entergy is a compelling long-term investment today. This is the foundation on which we will grow innovate and expand our investment profile to continue to deliver on our commitments tomorrow. We are excited about our future. I will now turn the call over to Drew to provide more detail on our results, our expectations for 2019 and our updated outlooks.
Andrew Marsh: Thank you, Leo. Good morning, everyone. As you heard from Leo, we had another productive quarter with good results and we are firmly on track to meet our full-year guidance. With our updated capital investment profile and cost expectations, we are raising our earnings outlook midpoints in 2020 and 2021. In addition, we are narrowing our guidance in outlook ranges. I'll provide details on these changes and more. But first, let's turn to the quarter. You can see on Slide 4, on a per share basis, Entergy adjusted earnings were $1.35, $0.07 lower than second quarter 2018, including the effects of dilution. Turning into the utility on Slide 5, rate actions in Arkansas, the Louisiana and Texas contributed positively to the quarter’s results. Also, last year's results included regulatory charges to return the benefits of the lower federal tax rate to customers. Partially offsetting these increases were lower sales volume and the unbilled period and the effects of weather which was less favorable this quarter compared to one year-ago. Regarding industrial sales, we experienced higher customer unplanned outages, fewer cogent customer outages and then usually wet weather in Arkansas leading to low sales to agriculture customers. The fundamentals that support the industrial customers and our region remains strong and our long-term industrial sales outlook remains intact. Other drivers for the quarters results included higher non-fuel O&M due largely to higher plans spending on nuclear operations, information technology and initiatives to explore new customer products and services. Drivers related to our growth such as hired appreciating depreciation expense including the St. Charles Power Station, which came online at the end of May. And lastly, the higher share count affected this quarter's results on a per year basis. Looking at EWC second quarter results on Slide 6. As reported earnings were $0.18 higher than the prior year. The key drivers were lower impairment charges at the merchant nuclear plants and strong market performance in the quarter for EWC nuclear decommissioning trust funds. Partially offsetting the increase was lower revenue due to the shutdown of Pilgrim as well as tax benefit in second quarter of 2018. Looking forward, we still expect EWC to provide slightly positive net cash to parent from 2019 through 2022. Leo mentioned that we continue to systematically reduce risk as we complete our exit from EWC. Entergy sales are 94% hedged. At any point our sale agreement does not require minimum level of funding and the nuclear decommissioning trust as a condition to close. Trust now only has 25% equity investment and had a 5% return we should not expect to have to make any contributions to close the transaction. Pilgrim shutdown at the end of May and it's trust is essentially in cash. And finally, as a reminder, our strategy to sell non-operating nuclear assets fully transfers the plant's decommissioning liability to the new owners. As a result, they significantly reduced our risk associated with revenue operating capital market and decommissioning activities for EWC as we finalize our exit from that business. Moving to operating cash flow on Slide 7, for the quarter was $552 million, a $29 million increase from a year-ago. The change was driven by a lower amount of unprotected excess ADIT returned to customers. Lower fueling outage costs and lower ARO spending at EWC. Partially offsetting were higher severance and retention payments at EWC. Turning to our guidance and outlook on Slide 8. Today, we continue to see results coming in around the midpoint for 2019. In addition, we are raising the financial outlook midpoints for 2020 and 2021. The updated outlook is driven by $750 million of incremental investments through 2021 that improve reliability and customer engagement. These investments are centered on themes that we have discussed, namely updating distribution, transmission and generation infrastructure to drive improved reliability as well as new products and services for our customers. However important goal as far our rates remain among the lowest in the nation for investor owned utilities. To that end, we're working to optimize our operating costs and part by leveraging innovation, automation, grid modernization, and other new technologies to drive efficiency and productivity in our business processes. We expect O&M to be about $2.65 billion in 2020, 2021, the goal to offset inflation in our business on an ongoing basis. The combination of the incremental investments and cost discipline will improve our level of service to our customers while continuing to manage build growth at or below inflation. The benefits of these efforts are not just limited to our customers. Our employees will have the opportunity to develop new skills, broaden their professional expertise and leverage technology to work more productively. Our communities we'll see economic development and we'll benefit from better service and improved reliability. And our investors will see improved earnings per share growth and improved confidence in our expectations. We previously communicated our targeted our adjusted EPS growth at 5% to 7% and that remains our expectation. The new midpoints reflect a 6% growth rate off of 2019 midpoint. Additionally, we have narrowed our guidance and outlook ranges by $0.10 and we could narrow them further in future years as we continue to execute on our strategy and deliver on our commitments. Providing steady predictable growth is fundamental to our strategy and this includes our dividends. Our goal is to align our dividend growth rate with our EPS growth rate of 5% to 7%. And the key variable to determine that is our capital plan. Given our updated capital plan, we expect to achieve our alignment objective in the fourth quarter of 2021. We’ve discussed this dividend plan with our board and they support our goal and timing. As you know, dividends are quarterly decisions made by the board and this one will be made at that time. These collective updates reflect the evolution of our business to our premier regulated utility. The success we've had in executing our strategy over the past three years gives us confidence in our ability to deliver on our ongoing plan. Turning to credit on Slide 9, our parents at the total debt has further improved in 19.4%. Largely due to the settlement of the remainder of the equity ford in May, our FFO to debt is 11.8%. This includes the effect of returning approximately $650 million of unprotected excess ADIT to customers. Excluding this give back and certain items related to our exit of EWC FFO to debt would be 15.8%. While some things that on our plan have changed, several critical credit elements have not. We expect cash flows to continue to improve beginning next quarter and throughout the remainder of the year. And the amount of unprotected excess ADIT returns to customers as the amount of unprotected excess ADIT return to customers declined. Our equity financing framework remains the same as it was at our Analyst Day last year and we remain committed to our targets of add or above 15% per FFO to debt by 2020 and below 25% for parent debt to total debt as well as maintaining our investment grade profile. We had another productive quarter with good results and we continue to execute on our plan to deliver steady predictable growth and earnings and dividends through customer centric investment. The improvements we are making today are a natural continuation of the evolution underway for some time. They are reflected in the alignment toward customer outcomes, our focus on customer bill, development of new investment opportunities, and updated earnings outlook, tighter outlook ranges and dividend path clarity. As Leo mentioned, the fundamentals of our business are strong and we're well positioned for continued value creation. We are world-class utility working for the benefit of all four of our key stakeholders. And now the Entergy team is available to answer questions.
Operator: [Operator Instructions] Our first question comes from Praful Mehta of Citi. Your line is now open. 
Praful Mehta: Thanks so much. Hi guys.
Leo Denault: Good morning, Praful.
Praful Mehta: Good morning. Great call and sounds like everything's going really well at the Entergy. So I guess my first question with the increased guidance, it sounds like you are still maintaining within the 5 to 7, but Leo, as you talked about this significant incremental investment opportunity that you see including the 7,000 megawatts you talked about. What are the other levers you see that could potentially increase, if not through 2021, but beyond in terms of the growth opportunities you see at the utility side? 
Leo Denault: Praful, from an investment standpoint if you can go back to our last Analysts Day even we were talking about the number of things that we can do not only to upgrade the technology associated with our generating fleet technology and signup new load, attach new generation the transmission pride, but also a significant amount of distribution energy resources, technological advancements that we can make. Those are the types of things that we're still looking at. Nothing that we're talking about today. Nothing that enters the plan are outside of the balance with the sorts of things that we've been talking about for some time with all of you, and certainly working on for even longer internally to the company. As we looked at it, as we've always said, what we're always balancing every day, every decision we make is because that three pronged outcomes that we need for our customers, one it has to improve the level of service that we provide them and two, we have to do it to manage their bills. That managing the bills is the governor in terms of how much we can spend on upgrading the reliability of the system. We've got to balance that. And then obviously the sustainability objectives that we end our customers and all of you as investors have. So it is more of the same in terms of what we have to do to be looking at to upgrade that system. The 7,000 to 8,000 megawatts of generation, that's a continuation of what we've been doing and that is modernizing the fleet to lower O&M lower fuel cost, improve emissions across the board as we look to deactivate 40 and 50 year old units and replaced them with new capacity. So if you look at our system, we used to put out that histogram of the age of our fleet. We still have some older units some of what we're spending the money on right now. Some of those new dollars are actually to go into some of those legacy gas units to make sure they continue to operate reliably while they get into queue to be replaced by the newer stuff. So it's nothing new. It's nothing that we haven't been talking about before. It's really just the focus on making sure that we balance those three objectives. We want to make sure that we improve the level of service, maintain some of the lowest rates in the country, work on the customer's bills, keep them below the level inflation while we continue to improve our sustainability footprint. But importantly, as I mentioned, the sustainability of our customers that's very important to them as well.
Praful Mehta: Well that's super helpful. Leo, thank you for that. And then maybe just quickly switching to the Nuclear Operations side, I wanted to understand any more color on the ANO outage. It seems to be delayed to just any color on what's going on there? And when that would be back online would be helpful?
Rod West: Good morning, Praful. It's Rod. We're pleased to report for our customers that ANO is in fact back online and sync to the grid, I believe beginning on Monday. And so that that's moving forward, so that's progress for us.
Praful Mehta: Gotcha. Anything specific Rod, that increased the delay?
Rod West: The significance was the reactor cooling promoter that that failed and it's a highly specialized equipment that you can't buy off the shelf. And we have tested that equipment during the outage in 2018 and it passed all the tests and the fact that it failed was anomalous for us, but at the end of the day, it takes a long time to replace and repair on that that motor, and that was the cause of the delay and nothing more. And so we're happy that it's back online.
Praful Mehta: All right. Thanks, Rod, and thank you, guys.
Leo Denault: Thank you, Praful.
Operator: Thank you. And our next question comes from Julien Dumoulin-Smith of Bank of America. Your line is now open.
Julien Dumoulin-Smith: Hey, good morning.
Leo Denault: Good morning, Julien.
Andrew Marsh: Good morning, Julien.
Julien Dumoulin-Smith: Hey. So perhaps just to come back to this cost question. Can you elaborate a little bit on how you're thinking about the cost benefits flowing back to customers? Obviously, you just filed an FRP in Arkansas, which reflected less rate inflation in past years. Is some of the O&M that your reductions already in place or is this more prospective and should that kind of limit the inflation here for Arkansas for next years FRP as well? And then maybe just the nuance here, should we expect some transient benefits? Or is this largely given the annualized nature of all these filings going to flow pretty simultaneously back to customers?
Andrew Marsh: Julien, this is Drew. So in terms of the flow back to customers, we would expect that pretty much all of it, we flow back to customers. In the course of time as you're noting, depending on the jurisdiction, some would float back to customers faster than others. And I think that's actually a critical piece of the overall strategy here because we are aiming to manage our customer's bills. And by doing that, we are creating space in the bill for incremental capital investment to improve reliability. And I think there's – we don't have it in the main slides, but there's an appendix slide, I think it's like a Slide 38 or so that talks about how our earnings are expected to change a while it's happens. You'll notice that net revenue line doesn't really move all that much. And O&M line is – that's creating that space for us. So we would expect that that would flow back to customers, because we're not, we're not anticipating their bills really moving at all as a result of this incremental capital. In terms of some of the O&M, and the progress that we've made, I think the answer is yes. We have made some progress this year. That's part of what gives us confidence that we can execute on this going forward. And I don't know if all of it is in rates today. But it will get into rates very quickly. This year as you know, we're using it to offset some of the negative weather that we had in the first quarter, plus I've mentioned in my remarks, industrial sales growth was a little bit below our expectations year-to-date. But it would be fine long-term, but in the meantime we need to make sure that we are managing to hit our expectations for this year. So some of that is happening now as part of what gives us confidence going forward and it should all flow back into rates.
Julien Dumoulin-Smith: Excellent. Just on the CapEx budget, a little bit more further elaboration, some of it seems like with distribution as well. And then also just what does the Texas legislation mean for you guys from a CapEx perspective and is that reflected as well?
Andrew Marsh: Well, I'll take the capital and then I'll let Rob answer the regulation piece of it. From a capital perspective, yes, a good chunk of it is in distribution, as you noted. And as Leo mentioned in his remarks and his answer to Praful's question, it's a lot of what we have been doing. Not all of it is – some of it is putting in new smart equipment and stuff like that that can communicate with our network. But a lot of it is just replacing poles and cross arms and transformers that are – that need frankly, just need to be updated, and so that's on the distribution front. On the transmission side, there is quite a bit of economic developments along the corridor between New Orleans and Baton Rouge. That's prompting new reliability investment opportunities for us from a transmission perspective. That frankly we weren't planning at the beginning of the year, front mainly along the west side of the Mississippi River. And then we have a lot of customer products and services investment that we're making as Leo alluded to in his script. So those are some of the main kinds of investment opportunities that we're looking at in terms of this near-term incremental capital. And I'll turn that over to Rod for the regulatory question.
Rod West: Yes. And the benefit of the generation rider legislation in Texas is really reducing lag for purposes of the CapEx that we have in the plan for Texas. So but it's remember it's an enabling legislation that gives the Texas Commission, the opportunity to provide a more efficient regulatory recovery, predominantly for those generation investments that Drew made reference to. So it's a risk reduction and the lag reduction opportunity for us as Drew, I believe stated and Leo in his statement to align the recovery mechanisms with the timing of our investments and benefits to customers.
Julien Dumoulin-Smith: Thank you very much.
Leo Denault: Thank you, Julien.
Andrew Marsh: Thanks Julien.
Operator: Thank you. Our next question comes from Sophie Karp with KeyBanc. Your line is now open.
Sophie Karp: Hi, good morning. Thank you for taking my questions.
Leo Denault: Good morning.
Sophie Karp: Just maybe the follow-up on Texas. So as the commission moves on and alliance sort of legislative intent with the actual recovery mechanisms? Is there any potential further upside to your CapEx plans in Texas?
Rod Wes: I think the potential for upside has to do with our ability to manage the cost associated with service delivery. The capital plan we have for Texas is pretty straight forward and we think set. But pulling the levers that Leo and Andrew mentioned a little earlier provides us an opportunity to move closer to our aloud and as I just mentioned the Texas Commission having tools to help us reduce lag as well. You have the opportunity to do that as well.
Sophie Karp: Right. Thank you. And then I know it's some time all the activity on the FERC docket. But I guess what is your range of expectations with what happens there? With respect to Siri?
Leo Denault: That's true. And I'll tackle that one. So they're in material updates right now. It continues to be going through the process at FERC. And in terms of our expectations as we said for a while, we have a reserve on our ROE and then for whatever the outcome maybe there, based on our expectations, and then the other elements of the various complaints there are reflected in the outlook that we put out today. So there's no – all of the expectations that we have are reflected in fourth series outcomes are reflected in our outlook.
Sophie Karp: Thank you.
Leo Denault: Thank you.
Operator: Thank you. And our last question comes from Charles Fishman of MorningStar Research. Your line is now open.
Charles Fishman: Thank you. Good morning. Leo, in your comments about the 7,000 megawatts to 2023, does that include the four plants under construction and the one in Choctaw?
Leo Denault: It does not. The 7,000 to 8,000 megawatts that we're talking about is 2022 through 2030. And as I mentioned, probably be roughly half renewables and half gas. As we look at it today, obviously subject to what happens technologically and cost wise to the construction of those different facilities. But again, that 7,000 to 8,000 new megawatts.
Charles Fishman: Okay. So I realize it's not a long time, but is that still being driven by the industrial load?
Leo Denault: It's still being driven by the need to technologically improve the system. So if you remember, Charles, we've been going through this portfolio transformation with our generation fleet, given the age and the vintage of those facilities which served us really well, but when they started pushing 40-plus years of age, the new plants efficiency, the O&M levels, emission levels, and then obviously the fact that they're starting brand new life that overtakes what the maintenance of those older plants would be. So for example, the St. Charles plant, over the life of a plant that's going to benefit our customers by $1.3 billion given the lower production costs associated with that plant vis-a-vis what's on our system today and in the market. So that's really the continuation. The load growth obviously is important, but in large part what that does is keeps the price point down for our customers as well.
Charles Fishman: Okay. And since I'm the last questioner, I going to take the liberty of asking one more. On dividend increase, I understood the 2021 review will be reviewed by the board later this year in the fourth quarter? I'm assuming it's going to stick to that fourth quarter schedule as well as 2020. Do you anticipate like similar 2% to 3% increases until then? Are you weren't saying it's going to be no increases until fourth quarter at 2021? Is my assumption correct?
Leo Denault: We were not saying it would be no increase that you're correct. We will take the dividend up every year as it always does. We were just signaling, because we've had this objective that we've stated for a while that we want to have our dividend growth match our earnings growth. And as you point out for the last few years, it's been lagging earnings growth. We believe that we'll be at a point in time by the fourth quarter of 2021 to put those in line with our expectation of earnings growth.
Charles Fishman: Okay. Appreciate it. Thanks for the clarification. That's all I had.
Leo Denault: Thank you, Charles.
Operator: Thank you. And we do have a question from Neil Kalton of Wells Fargo Securities. Your line is now open.
Neil Kalton: Hi, guys. I'm sorry. I jumped in last minute, but quick question and I apologize if I've missed this. With the new CapEx flowing in, have you discussed sort of incremental equity needs or how we should think about that over the next few years?
Andrew Marsh: Yes, Neil. This is Drew. So in my remarks, I mentioned that our equity expectations are exactly as they were at Analyst Day. So it's not until – we won't have any need for equity until after 2020, sometime 2021 or beyond. And that expectation is around 5% to 10% of our overall capital needs – that before.
Neil Kalton: Yes. Okay, and should we think about that likely being that that rule of thumb holding true as well in 2022 and 2023 based on what you're seeing right now?
Andrew Marsh: Yes, I think kind of looking out on a long-term basis, yes.
Neil Kalton: All right, perfect. Thank you
Andrew Marsh: Thank you, Neil.
Operator: Thank you. And Ladies and gentlemen, this does conclude our question-and-answer session. I would now like to turn the call back over to David Borde for any closing remarks.
David Borde: Thank you, Sonia, and thanks to everyone for participating this morning. Our Annual Report on Form 10-Q is due to the SEC on August 9 and provides more details and disclosures about our financial statements. Events that occur prior to the date of our 10-Q filing that provide additional evidence of conditions that existed at the date of the balance sheet would be reflected in our financial statements in accordance with generally accepted accounting principles. Also as a reminder, we maintain a webpage as part of Entergy's Investor Relations in website on regulatory and other information, which provides key updates, regulatory proceedings and important milestones on our strategic execution. While some of this information may be considered material information, you should not rely exclusively on this page for all relevant company information. And this concludes our call. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.